Operator: Good morning, everyone. Welcome to ProAssurance Corporation's conference call to discuss the company's fourth quarter 2024 results. I'd like to remind you that the call is being recorded and there will be time for questions after the conclusion of the prepared remarks. Now I will turn the call over to Heather Wietzel.
Heather Wietzel: Good morning, everyone. ProAssurance Corporation issued its news release, investor presentation, and 2024 report on Form 10-K yesterday, February 24, 2025. Included in those documents were cautionary statements about the significant risks, uncertainties, and other factors that are out of the company's control and could affect ProAssurance Corporation's business and alter expected results. Please review those statements. This morning, our management team will discuss selected aspects of the results on this call, and investors should review the 10-K and news release for full and complete information. We expect to make statements on this call dealing with projections, estimates, and expectations and explicitly identify these as forward-looking statements within the meaning of the US Federal Securities Laws and subject to applicable safe harbor protection. The content of this call is accurate only on February 25, 2025, and except as required by law or regulation, ProAssurance Corporation will not undertake or expressly disclaims any obligation to update or alter information disclosed as part of these forward-looking statements. We also expect to reference non-GAAP items during today's call. The company's recent news release provides a reconciliation of these non-GAAP numbers to their GAAP parts. On the call with me today are Ned Rand, President and CEO, Dana Hendricks, Chief Financial Officer. Also joining on the call today are executive leadership team members, Rob Francis, Kevin Shook, and Karen Murphy. Now, we'll turn the call over to Ned Rand.
Ned Rand: Thank you. And I'd like to start by welcoming everyone to our call. Yesterday, we reported our fifth consecutive quarter of improved operating earnings. In particular, these results demonstrate the progress we are making in our medical professional liability business, which makes up the majority of our largest segment, Specialty P&C. My comments are focused on ongoing core operations. Dana will touch on the impact of our Lloyd's business on our net income for the quarter. For the quarter, the Specialty P&C segment reported a combined ratio of 101%, benefiting from almost nine points of favorable prior accident year reserve development. It's a sign that our multiyear effort to respond to rising medical professional liability severity is generating positive results. The segment's full-year combined ratio improved sequentially by nearly five points to 104%, including almost six points of favorable development. Continuing social inflation and eroding tort reform mean we are facing a challenging legal environment, exacerbated by legal system abuse. We believe we have stayed ahead of many in the space in achieving rate levels in MPL that outpaced the resulting severity trends. We've achieved more than 20 points of improvement in the accident year loss and LAE ratio since 2019 due to renewal premium increases as well as the impact of our re-underwriting efforts and other strategic initiatives. Even with the progress of this past year, work remains. We continue to forego renewal and new business opportunities that we believe do not meet our expectation of rate adequacy in the current loss environment. Renewal premium increases in this year's fourth quarter were 10% for our standard MPL business and 8% for the specialty portion of our MPL book. This brings renewal premium increases since 2018 within our MPL line of business to almost 70% cumulatively. We remain very well positioned in the market and highly relevant in our targeted sectors and with our distribution partners. Exclusive of rate changes, retention of our existing premiums was a solid 83% in the quarter, including strong retention in the standard book, where we write much of our more profitable small to midsize accounts. As expected, new business continues to be impacted by our focus on rate adequacy and was below 2023 for the quarter and the year. Complementing our focus on pricing is our commitment to disciplined underwriting and managing claims to address market conditions. Innovation tools continue to enhance our risk selection, pricing decisions, and workflows. As we've said, predictive analytics are letting us leverage our extensive data to help us identify specific geographic markets, especially subsectors, where there are opportunities to write business that we believe will meet our profitability objectives. We are also committed to ensuring that our insureds and distribution partners find us easy to do business with, helping distinguish us in the marketplace. In late 2024, we launched an AI-ready web portal that delivers a variety of enhanced self-service options for policyholders and agents. We're enhancing workflows using the functionality of the new system and are in the process of filing a fully revised policy form and manuals for use nationwide for all of our standard business. Turning to our workers' compensation segment, we continue to carefully manage our underwriting appetite as we work to obtain the necessary rate to address the higher medical loss trends that we initially saw in mid-2023, although they had begun to moderate over 2024. Net written premiums were up only $4 million for the year, reflecting higher audit premiums and improved renewal pricing, while new business in our traditional book was more than $4 million below last year. In addition, we believe our focus on operational discipline is having a positive impact, with the combined ratio improved for the quarter and the year compared to 2023. The progress we are making has partially been due to our ability to leverage the integrated policy, claims, risk management, and billing system we implemented in early 2024. Not only is that system working well, it's paving the way for innovation initiatives that will help us address the challenging market conditions. These initiatives are using AI tools along with underwriting and claims data analytics to enhance profitability, productivity, and efficiency. We are pleased with the initial implementation with worker comp claim specialist Clari Analytics. This partnership will help us enhance medical outcomes for injured workers, improve our case reserve estimation capabilities, and lighten the administrative burdens of our claims professionals. We are leveraging their platform to address aspects of escalating medical costs, including their medical document intelligence platform that assists with directing care to the best-performing providers and their tool to help identify high-severity claims early in the claims life cycle. And that's just one example of what's underway in our workers' compensation segment. We're also ramping up a tool to optimize our network and medical management partners. Plus, we are making innovation investments in proprietary underwriting tools that expand the use of data analytics to guide and support operational decisions, improving penetration in the more profitable small account market segment. Across the organization, we remain intensely focused on reaching our long-term objectives and the results that we need to achieve. We are pleased with the progress of 2024, but we will not compromise to achieve a short-term fix at the expense of protecting our balance sheet and our insurance over the long term. Our long history in both medical professional liability and workers' compensation has taught us that these cyclical lines will respond to our focused efforts. We remain confident in our ability to ultimately achieve sustained underwriting profitability in both businesses despite market headwinds. We know that maintaining our discipline is key to delivering positive long-term results. I think you'll see more signs of our progress as Dana looks further into these results. Dana?
Dana Hendricks: Thanks, Ned. I'm going to dive a bit deeper into aspects of the Specialty P&C and workers' compensation segments and overall results before turning to investments. First, let me touch on one housekeeping item. As the release indicated, we have excluded from operating earnings the results from our previous participation in Lloyd's Syndicate as the business is currently in runoff. As we've previously reported, we ceased participating in Lloyd's Syndicate 1729 and 6131, beginning in 2024 and 2022, respectively, although a few underwriting years remain open. While we typically report these results on a one-quarter delay, we were informed in January by syndicate management of a significant fourth-quarter increase in IBNR reserve from aviation risks from the 2021 underwriting year for Syndicate 6131. Accordingly, we accelerated the reporting of these losses into our fourth quarter, which had the impact of reducing fourth-quarter net income by $5.3 million or about $0.10 per share. The impact on the reported Specialty P&C segment combined ratio for the quarter was about three points. Turning to the Specialty P&C segment results without Lloyd's, net written premiums declined for both the fourth quarter and full year, reflecting our disciplined pricing strategies and underwriting appetite for medical professional liability business. The segment's combined ratio from core ongoing operations improved for the full year, largely due to favorable development in accident years 2021 and prior, with a net loss ratio of 76.9%. As we said last quarter, claims are generally closing favorably relative to our expectations. Turning to the current accident year loss ratio, we are continuing to see a positive impact from the underwriting and pricing taken over the past twelve months, with the full-year current accident year loss ratio for the medical professional liability business improving by around a half point. In the fourth quarter, some of the benefit of those actions was overshadowed by several factors, including recognition of loss severity trends in a few jurisdictions. Further, the quarter-over-quarter comparison was impacted by the lowered estimate of unallocated loss adjustment expenses in the prior year quarter as well as the year-over-year change in premium ceded to reinsurers. For workers' compensation, our renewal rate change reflects our focus on rate adequacy in an environment that continues to experience state-mandated loss cost decreases. However, we have seen the decline in rates slow to just 2% as compared to the 5% decline in the prior year, as our actions are yielding results. The increase in net written premiums for the quarter and year was largely due to higher audit premiums that reflect continued wage inflation partially offset by rate. The segment's full-year combined ratio was 114%, with the current net loss ratio at 77%, or four points below 2023. Fourth-quarter and full-year net favorable prior accident year reserve development for this segment was $0.5 million, whereas in 2023, we strengthened reserves due to the higher-than-expected loss trends observed at that time. Across the entire organization, headcount declined 6% in 2024. However, as we noted last quarter, the year-over-year improvement in our consolidated results has raised incentive-based compensation costs, leading to higher expense ratios in all segments. Turning to investment results, we had another solid quarter to finish off a very strong year. Net investment income rose 9% for the quarter and 12% for the year as we continue to take advantage of the rate environment. New purchase yields in the fourth quarter for the consolidated portfolio were approximately 5.8%, or 230 basis points higher than our average book yield of 3.5%. The fixed maturity portfolio remains high quality, with 93% in investment-grade bonds with an average duration of 3.2 years. We continue to manage our asset duration to largely match that of our liabilities and to optimize our portfolio to generate yield. Our investments in limited partnerships and LLCs reported as equity and earnings of unconsolidated subsidiaries added another $5 million to earnings for the quarter, bringing the full-year contribution to $22 million, up $12 million from 2023. These structures typically report on a one-quarter lag, and they are continuing to produce strong returns. Reported book value per share rose by $1.67 since year-end 2023 to $23.49, driven by earnings per share of $1.03, and the change in accumulated other comprehensive income of $0.64, which was largely due to after-tax holding gains of $26 million on our fixed maturity portfolio that flow directly to equity. Adjusted book value per share has also increased to $26.86. As you would expect, our portfolio still includes a number of fixed maturity securities in an unrealized loss position. We have both the intent and ability to hold these securities until maturity, so should bond yields decline or as our portfolio matures, those unrealized losses will accrete back to book value. Further, there is upside because our current investment leverage is 3.5 times GAAP equity. To close, let me reiterate that we are seeing signs that our actions are delivering positive results. Ned.
Ned Rand: Thanks, Dana. We're certainly encouraged by the progress we're making with full-year operating earnings of $0.95 per share and an operating ratio of 94.5%. We know there is more to be done to achieve our long-term profitability objectives and expect continued progress and look forward to sharing results in coming quarters.
Dana Hendricks: That concludes our prepared remarks. Operator, we're ready for questions.
Operator: Thank you. To enter the queue, press star followed by one. And our first question today comes from Mark Hughes from Truist. Mark, please go ahead. Your line is open.
Mark Hughes: Yeah. Thank you very much. Good morning.
Ned Rand: Morning.
Mark Hughes: How would you characterize the competition in the fourth quarter? I think you had very good renewal premiums. You're pushing on pricing, and that's contributing to the improved profitability. How should we think about the trajectory of competition? Was it a little more meaningful in the fourth quarter or less so? Do you think about growth going into 2025? And I'm thinking here of that Specialty P&C business.
Ned Rand: Yeah. Some good questions, Mark. I don't think we really saw anything different in the fourth quarter than we've seen throughout 2024. And I think as we look forward to 2025, we really don't see anything different either. And so the market continues to be awash with capital, and that excess capital is sitting in the hands of some players, you know, causes them to be aggressive in the markets that they seek to protect and also as they look to potentially expand to use some of that capital. And I would say that's how 2024 played out and what we would expect in 2025. So profitability over growth continues to be the mantra for us. We certainly will look for opportunities to grow if they present themselves, but driving rate and being willing to forego retention in order to achieve that rate is going to be a higher priority. And I think that's what you saw happen in 2024, and I would expect in 2025 as well. I do think it speaks to our position in the marketplace that in spite of those competitive pressures, you know, we're able to achieve the rate gains that we are and still maintain what I think are very attractive retention rates with that kind of backdrop.
Mark Hughes: Understood. And then the reserve development within Specialty, what accident years did that come from?
Ned Rand: It's kind of spread out in a number of different places. If you look at, we still look kind of at the NorCal business and the legacy business a little bit separately, although that's coming more and more together. But I would say that on the NorCal business where we see some things develop quickly, it's coming from some more recent years. And then on the legacy business, it's 2020 and prior, largely.
Mark Hughes: And then your current accident year loss pick improved in 2024, but still kind of around 83%. Any early thoughts on what we should expect at the start of 2025?
Ned Rand: Not really beyond what I said a minute ago, which is we're just going to continue to push rate as hard as we can in the marketplace. We believe there's more rate that needs to be taken, and we'll seek to make 2025 look a lot like 2024 in that regard. Thank you.
Operator: The next question comes from Paul Newsome from Piper Sandler. Your line is open. Please go ahead.
Paul Newsome: Hi. Sorry about that. Great answers on the specialty business. Maybe you could turn to the workers' comp business a little bit more. Any additional color on sort of how you want to push rate or can push rate in that business given it's a little bit different competitive environment?
Ned Rand: Yeah. Thanks, Paul. And I like your word, kind of will and can, because I think in work comp, that can push rate is certainly a factor. Right? The rating bureaus certainly have a lot of sway in the rates you're able to drive and push for in the work comp marketplace. And we continue to see the loss cost indications coming from those rating groups going down. That decline is largely led by a decline in claim frequency kind of across the space in each of the states that we operate in. But it's also very backwards-looking oftentimes, with data that we consider a bit stale and probably not factoring in sufficiently the severity that's taking place within the work comp marketplace. And so the challenge for the team at Eastern is to figure out a way to kind of push rate forward in a market that has loss cost indications that probably should be trending up that are continuing to trend down. And so our individual account underwriters, you know, we strive to make those decisions where we can. But that loss cost decline does very much inform the market and the behavior in the market. And sometimes I feel like we're a bit alone in the wilderness in talking about some of the challenges we're seeing in the work comp market, but we're confident the rest of the market will catch up to us at some point. But for 2025, it's, again, a lot like 2024 for work comp. We managed to keep rate almost flat in a market where loss cost multipliers were down, and kind of the same sort of objective for 2025 that we saw in 2024, really push hard against those and continue to underwrite on an individual account basis to get the rates that we believe are adequate.
Paul Newsome: On the workers' comp side, do you think you're seeing a difference in frequency trend than others are seeing, or is it just the severity that differentiates your book from where others may be thinking or seeing?
Ned Rand: Yeah, Paul, I think it's more on the severity side and kind of building the severity end than it is on the frequency side. You know, I don't know the specific numbers for 2024, but take over the last five to ten years. We, I think, have seen frequency declines very much in line with what the market is saying. I think we're just responding to severity concerns much more so than frequency. Although, we don't think frequency is going to keep going down either.
Paul Newsome: Great. Thank you. Appreciate the help as always.
Ned Rand: Thanks, Paul.
Operator: The next question comes from Matt Carletti from JMP. Matt, your line is open. Please go ahead.
Matt Carletti: Hey. Thanks. Good morning.
Ned Rand: Good morning, Matt.
Matt Carletti: Ned and Dana, I was hoping you could update us on your thoughts on capital management. Just as I sit here, kind of you're talking about kind of sounds like pretty not a lot of growth, you know, maybe flattish premiums. You know, equity continues to grow. You know, a few quarters ago, you did some buybacks. Stock remains at a pretty good discount to book value. So just if you could help us kind of get inside your head on how you're thinking about that.
Dana Hendricks: Yeah. Good morning, Matt. Happy to take that question. Of course, when we're thinking about our capital management, we're considering many different factors, including what we need at the operating subsidiaries in order for achievement of our underwriting goals. We're going to balance that with maintaining capital efficiency. We're also going to think about recognizing and prioritizing the importance of our A rating with A.M. Best, and we think it's important to keep the RBCs for the insurance group solidly stable with adequate capacity for volatility. And we're quite satisfied that we're accomplishing that. As you know, when we think about capital allocation, we're considering the opportunity to diversify the investment portfolio to pick up yields. A few years back, we had, prior to the acquisition of NorCal, you know, we intentionally derisked the portfolio as we sought to build capital in anticipation of that particular acquisition. And now we're cautiously optimistic that we can add some investment risk back to the portfolio and increase our allocations to certain sectors that we believe are accretive and capital efficient. So across the organization, our goal is on our long-term objectives and the results that we need to achieve, including investing in our operations and enhancing profitability, productivity, efficiency, etc. So repurchase is certainly something that we're going to consider, but in the context of other uses of capital, including operating company needs and debt levels.
Matt Carletti: Alright. Thank you very much.
Operator: The next question comes from Gregory Peters from Raymond James. Your line is open. Please go ahead.
Gregory Peters: Good morning, everyone. I'd like to go back to the comments on the higher expense ratio. Maybe provide a little additional color inside the IR specialty combined ratio. I think you cited out comp and agent compensation. Is this a new level that we should expect going forward? If I look at the annual result? And then associated with that, can you just update us on your agent relationships? Has there been any change in distribution partners? Things like that.
Ned Rand: Yeah. Maybe starting at the end of that question, Greg. No material changes on the agency relationship side. You know, we continue to see consolidation in that space and private equity ownership in that space that certainly puts pressure on commission levels and expectations around commission levels. But that's really nothing new. We expect that to continue on into 2025. I'll let Dana answer your more specific question on the expense ratio.
Dana Hendricks: Well, what I would just sort of round out a little bit there, Greg, is that, you know, when you're looking at our fourth-quarter comparison, there are a number of moving parts involved there. You look at the full year, the ratio was up just over two points because of a variety of unusual items, really. And certainly, the increase in the incentive comp this year added nearly two points to the 2024 quarterly ratio. I will say, though, that recall that 2023 was, you know, on the very low side of achievement in terms of short-term incentive comp. So that creates quite a swing between the two years whenever you're comparing. And then further, the 2023 ratio had a number of one-time benefits that reduced that expense ratio as well.
Gregory Peters: So just to clarify that answer, I'm looking at your specialty P&C segment results table. And I'm just, let's just focus on the full year, the 27.1% underwriting expense ratio versus 25.6%. Seems like there's moving parts in both directions on 2023 and 2024. Is 27.1% for the 2024 year, is that sort of like a good normalized run rate? That includes both the good guys and the bad guys that you cited in your answer?
Dana Hendricks: I think what I would say there, Greg, is that as we continue to focus on risk selection, we are going to be pressured on the earned premium side of that equation. All the while, you know, managing expense dollars and sales downward, but the ratio will remain pressured.
Gregory Peters: Okay. That makes sense. I'm sorry if I missed it in your previous answer. I'm sorry. Did you add something, Dana?
Dana Hendricks: No.
Gregory Peters: In your previous answer on RBC, I'm sorry if I missed it. I was struck with something else. What was the RBC ratio at the end of 2024 relative to where it was at the end of 2023?
Ned Rand: I'm sorry, Greg. Are you talking about statutory NAIC risk-based capital? I don't have the stat statements here in front of us. But I can tell you it's better. I think everything improved in a year, but I don't have that data in front of us.
Dana Hendricks: Yeah. I'm...
Gregory Peters: Oh, that's fine. I was just trying to figure out, you know, every company has a target zone. You talked about a target zone. I just was wondering what that looks like. But we can talk about this offline once you have the data in front of you. So thanks very much for your answers.
Operator: This will conclude today's Q&A session. So I'll hand the call back to Heather Wietzel for some closing comments.
Heather Wietzel: Thank you, everyone, for joining us today. Feel free to reach out if you have any follow-up questions, and we'll look forward to the next quarterly call. Have a great day.
Operator: This concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.